Operator: Thank you for standing by, and welcome to the Garmin Limited Third Quarter 2024 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to turn the call over to Teri Seck, Director of Investor Relations. You may begin.
Teri Seck: Good morning. We would like to welcome you to Garmin Limited's third quarter 2024 earnings call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial position, revenue segment growth rates, earnings, gross margins, operating margins, future dividends or share repurchases, market shares, product introductions, future demand for our products and plans and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K filed with the Securities and Exchange Commission. Presenting on behalf of Garmin Limited this morning are Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Cliff Pemble: Thank you, Terry, and good morning, everyone. As announced earlier today, Garmin delivered another quarter of impressive financial results as our products resonate with customers, and we leverage growth opportunities across market segments and geographies. Consolidated revenue increased 24% to $1.59 billion a new third quarter record, and we achieved record revenue in all five business segments. Gross margin expanded 300 basis points to 60%. Operating income increased 62% year-over-year, and operating margin expanded 640 basis points to 27.6%, reflecting both the higher gross margin as well as favorable operational leverage across the business. We reported pro forma EPS of $1.99, up 41% year-over-year. Some are wondering how we have consistently delivered strong results when the financial health of the consumer is the subject of intent debate. The straightforward answer is that there is no single profile of the Garmin customer. And therefore, our results are not strictly correlated to broad generalizations of consumer behavior. Our business is highly diversified in many dimensions from market segments to product categories within segments, each targeting different consumers. Additionally, our business is global in nature, allowing us to leverage growth opportunities wherever they exist. And finally, our products offer essential utility and unique differentiators that separate them from ordinary discretionary items. Another factor in our strong performance is that our products are clearly resonating with customers. For example, our market share in marine increased as measured by organic garment sales versus our competitors. Additionally, our market share in advanced wearables increased. According to the most recent IDC data covering shipments through June of 2024, Garmin's global market share in advanced wearables increased over 200 basis points year-over-year, and we were the only global brand experiencing growth in shipments. According to IDC, we are now the number two advanced wearable brand in Europe and globally, we are number three. These are remarkable outcomes considering the highly competitive and fragmented nature of this market. We believe this is a direct reflection of the strength of our products and brilliant execution by our global team. Given our strong performance for the first three quarters of the year, we are updating our full year 2024 guidance. We anticipate revenue of approximately $6.12 billion and pro forma EPS of $6.85. Doug will discuss our financial results and outlook in greater detail in a few minutes, but first, I'll provide a few remarks on the performance of each business segment. Starting with Fitness. Revenue increased 31% to $464 million, with all categories contributing to growth and notably as our running and advanced wellness products resonate with customers. Gross margin was 61%, a 710 basis point improvement over the prior year, driven by lower product cost [audio gap] mix. Operating income nearly doubled year-over-year, and operating margin expanded by more than 1,000 basis points to 32%, reflecting both higher gross margin and favorable operating leverage in the segment. During the quarter, we celebrated the tenth anniversary of Garmin Health, which leverages our extensive wearable portfolio and high-quality sensor data to support corporate wellness, population health and patient monitoring initiatives. We also hosted the annual Garmin Health Summit to recognize innovative digital health solutions that utilize Garmin products. Given the strong performance of the Fitness segment [Audio Gap] moving to outdoor. Revenue increased 21% to $527 million, driven primarily by venture watches following the highly successful launch of the new fenix 8 series. Gross margin was 68%, a 570 basis point improvement over the prior year quarter and was favorably impacted by lower product costs, and a higher mix of revenue from adventure watches. Operating income increased 53% year-over-year, and operating margin expanded 820 basis points to 40%, reflecting both higher gross margin and favorable operating leverage in the segment. During the quarter, we launched the highly anticipated fenix 7 series as well as the Enduro 3. The fenix 8 series features a brilliant AMOLED display, cutting-edge features, a built-in speaker microphone and an LED flashlight across all models. The Enduro 3 weighs only 63 grams that offers rich features for endurance athletes, along with class-leading battery life up to 320 hours in GPS tracking mode, and up to three months in smartwatch mode using built-in solar charging technology. We also launched the inReach Messenger Plus, our first satellite communicator to offer photo and voice messaging, expanding our customers' ability to stay in touch while roaming in areas of limited or non-existent cellular coverage. Given the strong performance of the Outdoor segment in the third quarter, and the positive response following the recent fenix 7 Series launch, we are raising our 2024 revenue growth estimate to 13%. Looking next at Aviation, revenue increased 3% to $205 million, driven primarily by aftermarket product categories. Gross and operating margins were 75% and 22%, respectively, resulting in operating income of $44 million, a decrease of 10% year-over-year driven by increased R&D spending to develop new product and certify new aircraft platforms. We recently announced our new G3000 Prime, which redefines the integrated flight deck experience with edge to edge all touch screens and a highly flexible open architecture that seamlessly adapts to serve a broad and dynamic market. Textron Aviation recently announced that the G3000 Prime will be included in the upcoming CJ4 Gen 3 business jet. During the quarter, we announced an important new safety feature called Runway Occupancy Awareness, which uses ADS-B information to help reduce the risk of runway incursions, and provide added confidence for pilots navigating busy and complex airports. Garmin is the first to bring Runway Occupancy Awareness to market. Also, during the quarter, our co-founders, Dr. Min Kao and the late Gary Burrell were enshrined into the National Aviation Hall of Fame. This tremendous honor celebrates their pioneering work, developing products that revolutionized the aviation industry. The aviation segment has performed as expected so far this year, and we are maintaining our estimate of flat revenue for the full year 2024. Turning to marine, revenue increased 22% to $222 million, primarily driven by new revenue from JL Audio. Excluding JL Audio, revenue increased approximately 7%, which is ahead of the industry trends pointing to share gains in the market. Gross margin was 55%, a 290 basis point improvement over the prior year quarter and was favorably impacted by lower product cost. Operating income increased 59% year-over-year and operating margin expanded 390 basis points to 17%, reflecting both higher gross margin and favorable operating leverage in the segment. During the quarter, we received several awards, including being named the 2024 Manufacturer of the Year by the National Marine Electronics Association for the tenth consecutive year, along with six Product of Excellence awards or a total of 63 over the last decade. We were also recognized as the number one most innovative marine company for the second consecutive year by sounding straight only, a leading publication for the recreational boating industry. Sounding trade only considered both the strength of our products as well as our culture and business practices, which makes this recognition especially meaningful to us. Last week, we announced the acquisition of Lumishore, a leader in marine LED lighting solutions, which broadens our product portfolio and enhances our ability to seamlessly integrate technologies on the boat. The Marine segment has performed as expected so far this year, and we are maintaining our growth estimate of 15% for the full year 2024. Moving finally to the auto OEM segment. Revenue increased $53 million to $169 million, primarily driven by growth in domain controllers. Gross margin was 20% and the operating loss narrowed to $1 million as efficiencies improved with higher sales volumes. During the quarter, we successfully launched the Garmin Design domain controllers across all remaining BMW car lines. Our auto OEM segment has performed as expected so far this year. However, it has been widely reported that the outlook of major automakers is softening. With this in mind, we are lowering our full year 2024 revenue growth estimate to 40%. That concludes my remarks. Next, Doug will walk you through additional details on our financial results. Doug?
Doug Boessen: Thanks, Cliff. Good morning, everyone. I'll begin by reviewing our third quarter financial results, provide comments on the balance sheet, cash flow statement, taxes and updated guidance. Post a revenue of $1.586 billion for the third quarter, representing a 24% increase year-over-year. Gross margin increased to 60%, 300 basis point increase due to lower product costs and favorable product mix in certain segments. Operating expense as a percentage of sales was 32.4%, a 350 basis point decrease. Operating income was $437 million, a 62% increase. Operating margin was 27.6%, a 640 basis point increase to achieve leverage on our strong sales and improved gross margins. Our GAAP EPS was $2.07, and pro forma EPS was $1.99. Next, look at our third quarter revenue by segment and geography. During the third quarter, we achieved record revenue on a consolidated basis for each of our five segments. We achieved double-digit growth in four of our five segments, led by the auto OEM segment with 53% growth. The Fitness, Marine and Outdoor segments have 31%, 22% and 21% growth, respectively. By geography, we achieved double growth across all four regions, led by the EMEA region with 40% growth, followed by the APAC region with 18% growth, and the Americas region with 15% growth. Looking next, operating expenses. Third quarter operating expense increased by $56 million or 12%. Research and development and SG&A each increased approximately $28 million. Year-over-year increases were primarily due to personnel-related expenses. A few highlights on the balance sheet, cash flow statement and taxes. Ended the quarter with cash and marketable securities of approximately $3.5 billion. Accounts receivable increased both year-over-year sequentially to $922 million, following strong sales in the third quarter. Inventory balance increased year-over-year sequentially to approximately $1.5 billion. In the third quarter of 2024, we generated free cash flow of $219 million, $19 million decrease from the prior year quarter. Capital expenditures for third quarter 2024 were $39 million, approximately $7 million lower than the prior year quarter. We expect full year 2024 free cash flow to be approximately $1.1 billion capital expenditures approximately $250 million. During the third quarter of 2024, we paid dividends of approximately $144 million and purchased $20 million of company stock. At quarter end, we had approximately $270 million remaining in the share repurchase program, which is authorized through December 2026. Quarter effective tax rate of 17.9% compared to pro forma effective tax rate of 7.2% in the prior year quarter. Increase in effective tax rate is primarily due to the increase the combined Switzerland tax rate in response to global minimum tax requirements. Turning next to our full year guidance. Estimated revenue approximately $6.12 billion compared to our previous guidance of $5.95 billion. We expect gross margin to be approximately 58.5%, higher than our previous guidance, 57% due to year-to-date performance. We expect an operating margin of approximately 24% compared to our previous guidance of 21.3%. Also, we expect a pro forma effective tax rate of 16.5% higher than our previous guidance of 16% to projected full year income mix by tax jurisdiction. This result expects a pro forma earnings per share of approximately $6.85, an increase of $0.85 the previous guidance of $6. This concludes our formal remarks. Rob, could you please open the line for Q&A?
Operator: [Operator Instructions] Your first question comes from the line of Ben Bollin from Cleveland Research. Your line is open.
Ben Bollin: Cliff, I was hoping you could share a little thought on what you see as the underlying drivers within wearables. Could you speak to how you think about the growth of the installed base versus refresh? And what you've seen with some of these recent launch in the [indiscernible] [Audio Gap]?
Cliff Pemble: Yes. So, Ben, as we remarked in our prepared statements, the drivers in wearables is that we're a very unique player in the market. We offer a lot of different products across many different use cases. And so, we're able to find ways to be successful across the whole market is our products really resonate with lifestyles and activities that our customers want to do. In terms of installed base, our current registration trends still point to the majority of our new -- of our users being new -- users being new to Garmin, which is a great thing. So, we're seeing that grow, which is good. And then in terms of the recent launches, as I mentioned, the fenix 8 series was very well received by the market, and we're continuing to fill demand for that product as it rolls out across all of our retail channels.
Ben Bollin: And there were also a number of mentions on the stronger gross margins related to lower product costs. Could you provide some color on what it is that you're seeing or what you're doing to see those benefits?
Cliff Pemble: I think there's quite a few moving pieces in the product costs. One is pure materials costs, which we're definitely seeing some benefit there of the scale of our business across all of our segments. But also, we're getting some help from the Taiwan dollar and efficiencies in our factory operations as our scale has increased significantly.
Ben Bollin: The last one for me. Interested in any thoughts you have going into the holidays about how you view retailer commitments to inventory levels into the holidays. Any thoughts on what it is that they're seeing versus prior years?
Cliff Pemble: Retailers are telling us that they're eager to take in our products. They're planning for promotions, the retail channel appears to be very clean, especially as we transition some of our product lines like the fenix 8. So, I believe we're in a good position and that's what we're hearing from our retail partners.
Operator: Your next question comes from the line of Erik Woodring from Morgan Stanley. Your line is open.
Erik Woodring: Two, if I may. Just to start, Cliff, really impressive on Fitness and Outdoor, especially on the gross and operating margin side, you're posting margins that we haven't necessarily seen before for these segments. So just curious, from your perspective, if we put aside the cost downs that you alluded to, how much of this is your pricing strategy really flowing through to margins? And really, the question I'm getting at, is how sustainable are these margin levels as we think about moving from some of these moving on from some of these new product launches, can you sustain these margins? Are these abnormally high? Could you just maybe help us unpack that? And then I just have a quick follow-up.
Cliff Pemble: Yes. I think it's probably difficult to put aside cost down because that's obviously an important way that companies continue to reinforce their margin structure. So, we're working very hard on that. And each new design, we try to make gains in terms of the efficiency of the designs as well as the component costs. But in terms of sustainability, I think that's one of those questions that everyone is going to have an opinion on. What we focus on is creating products with unique differentiators that allow us to have premium pricing and offer things that our competitors don't. So that's going to continue to be our recipe going forward.
Erik Woodring: Okay. I appreciate that. And then just as a follow-up. Obviously, you alluded to the auto OEM market backdrop weakness. You had previously set that $800 million target for auto OEM in 2025. And just given your comments on OEM softness, does that target change at all? Does it change either the magnitude or the timing of that $800 million kind of goal? And then second to that, does it have any impact on any of the new OEM contracts that [Audio Gap]?
Cliff Pemble: To next year, we really aren't ready to comment on that, although obviously, the trends in the car industry are softer than they used to be. So, we'll look at that and provide an update when we introduce our 2025 outlook. In terms of impact on our new programs, I would say, at this point, too early to say. I think some of those are rolling out beyond 2025. And so, I would expect as the economy evolves, as people believe that it will with lower interest rates that it could get better, and the outlook would improve.
Operator: Next question comes from the line of Ivan Feinseth from Tigress Financial Partners. Your line is open.
Ivan Feinseth: Congratulations on another great quarter. It's phenomenal. With the recent availability of some paid apps on the Connect IQ platform, what kind of uptake are you seeing? And also, with the recent introduction of the expanded inReach the connected subscriptions and some of the downloads of let's say, Messenger, and some of the new features in Messenger as you kind of grow out this app ecosystem. What kind of uptake are you seeing? And at what point do you think you would start to give some indication as the revenue that's coming from some of these subscriptions?
Cliff Pemble: Yes. Ivan, in terms of the paid apps and some of the things that you've seen recently on our store, we view these as incremental as they bring value to customers. And so, those are enhancers to our overall revenue and margin structure as we roll more of that out. Expanded inReach, we've been excited about that being able to have the higher bandwidth messaging and picture and voice sharing, which is great for people that go out in areas where cellular coverage is just really poor. So, we expect that to be completely incremental in terms of the use case for the product, although it's early days and probably not a lot of share in terms of what the early results are so far. In terms of the Messenger specifically, it's a great product, like I said, very new, and so we're just now starting to see it roll out and being used by customers.
Ivan Feinseth: And then what kind of reception are you seeing to the new introduction of your new dash cams. And if you see a lot of what's going on out there, there seems to be an increasing demand or people are finding that these are becoming a necessary item. What kind of growth potential do you see going forward on those?
Cliff Pemble: Yes. The dash cam market is very mature, but the market did receive our new product releases very well. We've focused on providing dash cam functionality that's superior to others, including a heavy focus on quality optics and a broad range of use cases from daytime to nighttime. So, I think the market appreciates that, and we've had a favorable response.
Operator: Your next question comes from the line of Jordan Lyonnais from Bank of America. Your line is open.
Jordan Lyonnais: On the Aero side, are you guys seeing any impact from the strike and re-ramping up now that the strike is over for Textron?
Cliff Pemble: I think the strike probably had some small near-term effects as Textron was unable to deliver their plan in terms of aircraft, but I think they're working hard now to go back to normal. And so, we don't anticipate any long-term effects on that.
Jordan Lyonnais: Got it. Okay. And then on the guidance raise from this quarter versus last quarter, because it was so strong, what is giving more confidence in the visibility that you guys have into 4Q now versus this past quarter?
Cliff Pemble: I think as we move along through the year, of course, we get more confidence in the last quarter. A lot of the plans with retailers don't materialize until sometime in Q2 or Q3. And so, with a more complete picture now, of course, we can be more confident in the fourth quarter.
Operator: Our next question comes from the line of Noah Zatzkin from KeyBanc Capital Markets. Your line is open.
Noah Zatzkin: Maybe just a couple on the Marine strength. I guess first on Lumishore, have you quantified how large that business is in general?
Cliff Pemble: Yes. I think the Lumishore and marine lighting in general, is an incremental business to our Marine segment. But an important one because it's another component on the boat that people want to have that we can provide and also integrate with our chartplotter systems around the boat.
Noah Zatzkin: In terms of just the strong kind of market share gains implied by your growth. When you look at the industry, obviously, it's been challenging. Like kind of a marine industry in general, looking into like the kind of medium term? And then what kind of underpins confidence in continued market share gains there?
Cliff Pemble: Yes. I think in terms of the outlook, I think, again, this is somewhere where everyone will have an opinion. But it would seem to us that probably the market is fairly stable where it's at, probably don't see a lot of additional moves to the upside or downside. And as the economy and especially the interest rate environment improves, and I think people will obviously feel better about purchasing boats. In terms of our ability to take market share, I think we've been thrilled with our ability to do that across the whole range and especially as we enter new categories like our trolling motors, but in terms of sustained ability to do that, again, it gets more and more difficult as the market share grows. And so, we're concentrating on just creating great products and making sure that we can serve the customers that are out there.
Operator: Our next question comes from the line of George Wang from Barclays. Your line is open.
George Wang: Just two quick ones. So firstly, can you kind of double-click on the inventory kind of channel restocking. When I look at the balance sheet, inventory increased a lot sequentially to $1.5 billion. And can you just talk about kind of sell-through versus sell-in dynamic, especially as we head into the December quarter kind of holiday season. Just kind of how much is sort of different versus kind of the true end market demand?
Cliff Pemble: Well, I think to start on the first question, George, our inventory is not related to channel inventory in any way. We're managing our own inventory to prepare for a higher selling season that's coming up in Q4. And I think we've mentioned over a few calls now that our inventory levels, while they've been down have probably been uncomfortably low. And so, we've been working to improve those so that we can serve all the product needs. And I think you saw in our results here in Q3 that having more inventory definitely was a good thing because we were able to serve all of the orders that came our way. In terms of sell-in versus sell-out, I would say that we have a very good ability to track customer activity and as they're buying our products and registering them. And so, we're very pleased with the sell-out so far, especially with the new products like the fenix 8 and also the existing products that have been in the market a while such as the Forerunner 265 and 965 as well as the Vivoactive and Venu series, all of them have very strong registration rates.
George Wang: Okay. Great. Just a quick follow-up. I guess, in terms of margin profile for the auto OEM, given softer top line outlook for the auto OEM kind of some of your customers lowering guidance. Does it affect your medium-term outlook for the margin profile? Obviously, you are getting close to profitability on the income side for the auto OEM later this year. So just curious, any change in thinking in terms of the medium outlook for the gross margin and operating margin for the auto OEM segment?
Cliff Pemble: Yes. I think for the most part, we would say the gross margin probably is not impacted, although product mix, depending on customer activity, it could be a factor there. But in general, we've said that it would be in the high teens to 20% kind of range for gross margin. With lower sales, of course, comes the concern that you don't have the ability to cover all the expenses in the segment on a fully loaded basis because of the lower sales volume. But that's unfortunate, but something we can't really do anything about because the automakers are the ultimate customer for this product. And if their outlook is weakened, then of course, we have to respond to that.
Operator: That concludes our question-and-answer session. I will now turn the call back over to Teri Seck for some final closing remarks.
Teri Seck: Thank you all for joining the call. Doug and I are available for callbacks and we hope you have a great rest of your day. Bye.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.